Operator: Good day, everyone, and thank you for standing by. Welcome to the Quebecor Inc.'s Financial Results for the Fourth Quarter and Full Year 2025 Conference Call. I would now like to introduce Hugues Simard, Chief Financial Officer of Quebecor Inc. Please go ahead.
Hugues Simard: Thank you. Ladies and gentlemen, welcome to this Quebecor conference call. My name is Hugues Simard. I'm the CFO, and joining me to discuss our financial and operating results for the fourth quarter and the full year of 2025 is Pierre Karl Peladeau, our President and Chief Executive Officer. Anyone unable to attend the conference call will be able to access the recorded version by logging on to the webcast available on Quebecor's website until the 27th of April of this year. As usual, I also want to inform you that certain statements made on the call today may be considered forward-looking, and we would refer you to the risk factors outlined in today's press release and reports filed by the corporation with regulatory authorities. Let me now turn the floor to Pierre Karl.
Pierre Péladeau: [Foreign Language]. And good morning, everyone. So I guess that you will understand that we're very pleased. And I would say, actually, I'm also very proud to review Quebecor operational and financial performance for the fourth quarter and the full year of 2025. All our sectors of activity performed exceptionally well in the last quarter of the year. Our locomotive, the telecom segment, delivered with its unquestionably strongest quarter since the acquisition of Freedom Mobile. This performance reflects the disciplined execution of our growth initiatives, rigorous cost management and a sustained commitment to providing innovative, high-performance and reliable services at competitive prices to our customers. In our Media segment, even adjusting for a favorable retroactive royalty adjustment, we managed an impressive turnaround and return to profitability in our broadcasting operations, resetting the stage and laying a solid base to be able to keep adapting to the ever challenging revenue environment as we still and always believe in our unsurpassed ability to inform and entertain Quebecers for our unique array of information, sports and entertainment offerings. Our financial results speak for themselves, with a free cash flow up 21.9% in Q4 and 27.3% for 2025. EBITDA, excluding the impact of stock-based compensation and a retroactive royalty agreement in Media, is up 7.6% in Q4 and 4.7% for the year. Adjusted net income is up 21.2% in Q4 and 17.8% for 2025. And our leverage ratio is down to 2.95x, the lowest by far of the top 4 telecoms in Canada. All in all, a pretty good performance yet again. I will now review our operational results, starting with our telecom segment, where we continue to capitalize on the favorable dynamics we created with the Freedom acquisition in April 2023. Since then, our strategy has been clear and consistent: to deliver richer, higher-quality services at everyday best prices. Period. Clear and simple. And you know what? It works. This positioning, which is quite different from our competitors, are strengthening our competitiveness, increase our market share and firmly establish Videotron as the game-changing alternative Canadian consumers have been waiting for and are now flocking to. This positive momentum, already visible last year, continue throughout 2025. We ended the year with the industry-highest loading, less service revenue growth and top EBITDA growth of 2% for the year and 4.2% for the fourth quarter, our strongest quarterly adjusted EBITDA growth since 2019. We improved total services revenue for a third consecutive quarter, our best quarterly growth of the year at 3.5%. This was driven primarily by our best mobile service revenue performance in more than 5 years, with a $39.9 million or 9.5% increase. These results reflect robust subscriber addition of 311,000 net new lines in 2025 and 73,900 in Q4 alone, a testament to the effectiveness of our disciplined multi-brand pricing strategy, considering the ongoing soft Canadian market growth. Customers continue to respond positively to our value proposition as demonstrated by sustained churn improvements, market share gains and steady ARPU growth across all brands. Speaking of ARPU, our consolidated mobile ARPU turned positive for the first time since the Freedom acquisition, reaching $35.23 in Q4, an increase of $0.48 or 1.4% year-over-year, and improving sequentially for a third consecutive quarter. Our ability to mitigate the dilutive impact of our Fizz and Freedom prepaid, while delivering excellent customer experience, was key to this turnaround. Even in an increasingly competitive and sometimes unpredictable environment, we maintain pricing discipline and resisted industry-wide unsustainable promotional tactics. We remain focused on the long-term high-quality services.
Hugues Simard: Operator?
Operator: Please continue.
Hugues Simard: [Technical Difficulty] We thought there was a bug on the telecom line.
Pierre Péladeau: Okay. I continue. Sorry about this. Furthermore, we have yet to reach our full potential in the Western provinces where our market share is still low, but where we are actively improving and building out our network. Our track record demonstrates that disciplined growth is possible without ARPU dilution, unlike competitors relying on aggressive and confusing promotional program like EPP, where the E has long lost it's significance. Turning to wireline. 2025 marked a clear stabilization. Wireline services revenues improved quarter after quarter, ending the year with the lowest decline in more than 2 years. Internet revenues grew 1.7%, supported by 3,700 net additions in the quarter. Television services also delivered strong momentum, with a 50% improvement in subscriber retention as compared to Q4 2024. This progress reflects disciplined pricing, avoiding over aggressive offers in our more expensive sales channels, all supported by our unmatched customer experience. New services, including Freedom Home Internet and Fizz TV, are still in the early stages and represent only a small portion of the overall contribution, offering significant further upside for 2026. In parallel, the expansion of our Helix-based Internet and TV services into new regions of Quebec will complement our wireless footprint and enhance cross-selling opportunities. Our illico+ platform also reached an important milestone, surpassing 0.5 million subscribers earlier in the year. It continued to gain traction within the French-speaking community across Canada, adding nearly 60,000 subscribers in 2025, including 20,000 Q4 alone. Its original French language catalog, supported by renewed investment in local content creation and enhanced user experience, are clearly resonating among OTT platform users. Focus on customer experience is not a new strategic priority for us. Ever since we completely overhauled Videotron after we acquired it in 2000, customer focus has been at the heart of all our plans and initiatives. We have been the undisputed leader in client experience in Quebec for more than 15 years, arguably the most important contributing factor to our success. In 2025, we continue to increase our advantage over our competitors in that respect, with several more distinctions. Just recently, Videotron, Fizz and Freedom Mobile all set out again in Léger January 2026 WOW Index, undeniably demonstrating their unwavering commitment to exceptional customer experience. The survey once again ranked Videotron as the top telecom provider in Quebec for in-store experience for a third consecutive year, while Fizz held its position as a Canadian leader in online experience for the seventh consecutive year, and Freedom maintained its podium with its third place for online expectations -- I'm sorry, online experience. These remarkable results clearly demonstrate our relentless efforts to always exceed customers' expectations, both in traditional settings and on digital platforms. We are constantly optimizing our sales channels to bring the best value proposition that fit our customer true need, while maintaining the industry's lowest cost of acquisition, with a healthier mix that our competitors, who oddly enough, tend to offer more aggressive deals in retail, the most expensive sales channel. Even more remarkable is the outstanding performance of Videotron, Fizz and Freedom reflected in 2025 annual report recently released by the Commission for Complaints for Telecom-television Service, the CCTS. While total complaints about Canadian telecom provider rose by another 17%, our brands have once again delivered superior customer satisfaction. In its first appearance in the report as the nationwide service provider, our group of brands was in a class of its own, with stable numbers despite significant subscriber base growth, while the other major national carriers experienced high complaint increases. Specifically, the Videotron brand maintained its leadership with a 6.6 reduction, our fourth consecutive annual decline in complaints. Moreover, Quebec office de la protection du consommateur did not list Videotron among its main sources of customer complaints in 2025, contrary to some of our key competitors. I could go on and on, but I think these results are collectively a testament to our effectiveness of our strategy rooted in transparency, respect and consistent execution, all of which contribute to maintain our churn levels among the industry's best. Also contributing to our growth as well as to our customers' long-standing satisfaction and lower churn are the multiple ongoing technology improvements we are making to our network. On the wireline side, we are happy to see good take-up rates on ISP tiers using both our HFC and fiber footprint. In wireless, we are experiencing accelerating growth in our IoT business, with much more to come in the near future. Meanwhile, this roll out 5G services late last year, covering over 22 million Canadians in Quebec, Ontario, Alberta and British Columbia, with faster speeds for streaming and gaming on compatible plans. Fizz also launched a new modem, providing better speed and reliability, which is resonating strongly with our community. Overall, 2025 was a defining year for our telecom segment, the strength of our mobile business, bolstered by the Freedom acquisition, combined with disciplined pricing, effective brand positioning and optimized customer acquisition costs generated our best mobile service margin growth in more than 5 years. While mobile ARPU, now growing, while revenues -- wireline revenue stabilizing and market share continuing to rise, particularly in regions where significant potential remains, we're starting 2026 with a strong momentum and unshakable confidence in our ability to sustain discipline and profitable growth. Turning to the Media segment. TVA reported adjusted EBITDA of $50 million in 2025, an increase of $39 million compared to 2024. This improvement reflects a favorable retroactive royalty adjustment for specialty channels recorded in the fourth quarter as well as a significant cost savings from the various restructuring initiatives we have put in place over the last 18 months to offset the decline in advertising and subscription revenues affecting the entire private television industry. The royalty adjustment is not a gain, but rather a significant revenue shortfall that penalized TVA for years. This nonrecurring adjustment enable us to repay part of the accumulated deficit but does not change the fundamental situation. Despite this performance in 2025, TVA still has cumulative net losses attributable to shareholders of $61 million due mainly to falling subscriber numbers and advertising revenues in the conventional television business. Based with these systemic declines that are threatening TVA financial position, we have acted responsibly and implemented a series of restructuring measures over the years, including significant workflow reduction and the centralization of TVA media teams, studios, and newsroom to improve efficiency. All these efforts have yielded significant savings. But given the decline in revenue to the market domination by the web giants and the unreasonable regulatory burden under which we operate, we must and will continue our optimized effort and will maintain budgetary discipline. We will continue to fight to keep a strong private broadcaster, to make sure our French audience will continue to get diversity of entertainment and information, not letting Radio-Canada being the only broadcaster. On the positive side, despite these major structural challenges, audiences continue to choose our channels, while we are maintaining our market share dominance with a 41.8% market share in 2025, up 1.1 points from 2024. I will now let Hugues review our detailed financial results.
Hugues Simard: [Foreign Language]. On a consolidated basis in the fourth quarter of 2025, Quebecor recorded revenues of $1.5 billion, up $47 million or 3% from last year. EBITDA reached $610 million, an increase of $21 million or 4% or $44 million or 8% increase when excluding both the unfavorable impact of $67 million rise in share-based compensation expense across all of the corporation segments, and also the favorable impact of $44 million related to the retroactive application of a royalty agreement for specialty channels and the Media segment. Cash flows from operating activities increased $130 million to $522 million, up 33% compared to the same quarter last year. In our telecom segment, Telecom total revenues grew 1.5% or $19 million, marking a second consecutive quarter of year-over-year revenue growth. This performance was driven by mobile service revenues, which were up 9.5%, our strongest increase in the year -- of the year, supported by sustained subscriber growth, improving mobile ARPU and steady ARPU progression across all wireline services. With rigorous cost management, adjusted EBITDA reached $590 million in the quarter, up $24 million or 4%, representing our best annual EBITDA growth since 2019. As a result, adjusted EBITDA margin improved 1.2 percentage points to 45.9%, up from 44.7% last year. Telecom capEx spending, excluding spectrum licenses, increased by $55 million for the full year and $44 million in Q4, reflecting favorable impact of governmental credits recorded in Q4 of last year and also our continued 5G and 5G+ network expansion and wireline equipment investments. Accordingly, adjusted cash flows from operations declined $7 million year-over-year and $20 million for the quarter. As anticipated, 2025 was a higher investment year to ensure network expansion remains aligned with our growth ambitions. Our Media segment reported revenues of $239 million in Q4, an increase of 23% or $44 million year-over-year, and generated an EBITDA of $54 million, representing an improvement of $39 million, largely driven by the favorable impact of retroactive agreements that we've spoken about before. Our Sports and Entertainment segment revenues decreased by 16% to $58 million in Q4 and EBITDA was also down by -- to $1.5 million. Quebecor reported a net income attributable to shareholders of $212 million in the quarter or $0.93 per share compared to a net income of $178 million or $0.76 per share reported in the same quarter last year. Adjusted net income, excluding unusual items and losses on valuation of financial instruments, came in at $226 million or $0.99 per share compared to an adjusted net income of $187 million or $0.80 per share last year. For the full year, Quebecor's revenues were up by 0.7% to $5.7 billion, and EBITDA was up by 1.1% to $2.4 billion. Or excluding the unfavorable impact of the $111 million increase in share-based compensation expense across all of our segments, we would have been up 4.7%, driven by the sound growth, obviously, in the share price of 2025. I'm also including in that adjustment, the favorable $26 million impact related to the retroactive media adjustment for the full year. EBITDA from our telecom segment grew 4%, an improvement of $84 million over last year, excluding the impact of stock-based compensation. As of the end of the quarter, Quebecor's net debt-to-EBITDA ratio decreased to 2.95x, still the lowest by quite some margin of all of our telecom competitors in Canada. On November 30 -- 20 rather, of last year, 2025, Videotron issued $800 million of senior notes yielding 3.95%, marking the lowest 7-year -- the lowest 7-year credit spread ever achieved in the Canadian telecommunications sector. The net proceeds, combined with cash on hand, were used to -- for the redemption of Videotron's 5.125% senior notes which were maturing on April 15, 2027. Our balance sheet remains very strong with available liquidity of over $1.6 billion at the end of the fourth quarter, pro forma the U.S. $500 million increase in the revolving credit facility, which happened on January 28 of this year, 2026. In 2025, we purchased and canceled 5.3 million Class B shares for a total investment of $218 million. Finally, in light of these results and following our plan to distribute between 30% and 50% of our free cash flows, I'm happy to report that Quebecor's Board of Directors declared yesterday a quarterly dividend of $0.40 per share for both Class A and Class B shares, up from $0.35 per share, or an increase of 14%. We thank you for your attention, and we'll now open the lines for your questions.
Operator: [Operator Instructions] And your first question will be from Sebastiano Petti at JPMorgan.
Sebastiano Petti: I just want to see, Pierre Karl and Hugues, if you could unpack maybe expectations around capital returns. I think Hugues touched on increasing the dividend by 14% to $0.40 a share, in line with your policies. But how are you -- how should we think about your commitment to maintaining 3 turns of leverage as the underlying EBITDA growth seems to be accelerating in the business and operating leverage is coming through? And then a follow-up question. I mean, what are the pros and cons or how is the team evaluating potential U.S. listing or some way to maybe unlock -- improve the float in shares? That's a question kind of concern that we hear from some shareholders given the limited float liquidity.
Pierre Péladeau: Thank you, Sebastiano. Well, we -- the policy basically, out of our Board of Director conversation and discussion, is to use the free cash flow that we're generating on a yearly basis. And to split it, it's quite simple. At the end of the day, I guess, that it's not rocket science. It's reducing our debt. There is no such a large transaction or acquisition, which is -- what is around the market right now, but this can change right now, and this is what we're seeing. So the split is between reducing debt, paying dividends and buying back stock. And this is what we've been doing for the last 2 years. Despite the Freedom acquisition, which, cash-wise, was not a big demand. So we've been able to maintain this. And I think that the market reward the company for this policy, and we can expect that -- I would ask Hug maybe to give the exact percentage of payout. But we said that we are going to have a bracket in terms of payout between 20% and...
Hugues Simard: 30% and 15%. We're at 35 now.
Pierre Péladeau: So we're at 35%. We've always been on the low side of the bracket. I think it will remain that way, other than special situation that can take place. But we're not seeing it for the moment, but that can change. And I guess that we've been always very opportunistic. And life for the last decade -- if something was to happen, we'll be ready to be there and participate. For the U.S. listing, I guess that we never really had the chance to think about it. I would thank you to bring it and we'll try to find out what could be the advantages of it, obviously, the flow is important, adding a diversity of shareholders also how this will deal with the exchange rate. These kind of things are not something that we should avoid. And since we're not the 51st state of the U.K. Yes. No, we should not joke about it, sorry about that. Then -- we'll look at it certainly, Sebastiano.
Sebastiano Petti: Real quick, just following up on the leverage plan, I mean you're at 2.95x now. Should we -- you just issued paper at a pretty attractive yield. Is there any reason to think that you'd let it drift lower from the 2.95x exiting 2025? Or is this more or less hugging 3 turns is the way that we should kind of think about how you and Pierre Karl plan to kind of run the business, obviously, excluding anything inorganic or other opportunities that may avail themselves?
Pierre Péladeau: Yes. Again, we'll see Sebastiano, but something I think is of importance. And we've been working very hard for 2, 3 years because we thought that maybe -- we're not sure that we were treated fairly regarding our credit rate. So we've been fighting to have our investment-grade status, which obviously brings significant advantage. Hugues talked about the last issue we did, which is the lowest of the industry. And we don't have to play yet with our balance sheet, issuing very expensive hybrid instruments. We have clear classical debt for which we've been seeing, as you look at more details regarding our interest expenses, they're down significantly. And at the end of the day, this is more money on our free cash flow for shareholders, either on purchase or on a buyback purchase on a dividend basis. And if we were to be able -- to continue to be able to get an even better ratio, I don't think this is something that doesn't worth the exercise.
Operator: Next question will be from Maher Yaghi at Scotiabank.
Maher Yaghi: [Foreign Language] I just wanted to ask you, after a period of relative rational pricing in the second half of last year, we see -- we have seen some aggressive discounting early this year. I'm more concerned about investor perception, about how that could affect interest to invest in the Canadian telecom sector. So -- and based on feedback we've received, do you think the market could get more rational if all players move to reporting net accounts additions and ARPA instead of reporting subscriber loading and ARPU pushing you guys to focus more on convergence efforts and away from just adding low-calorie subscribers. T-Mobile is doing that in the U.S. starting in Q1. What do you think about just the general concept of moving in that direction?
Pierre Péladeau: Well, Maher, you're probably right, but it is what it is. I mean we -- I remember we started in 2000, and we were releasing on a quarterly basis, how many subscriber we will get on a quarterly basis. And I remember that very well. I thought it was a little bit crazy, but it is what it is. So we all knew that at the end of the quarter to get better subscriber numbers, the industry was giving away cable subscription. And a month later or 1.5 months later, finding out that the customers were not paying, they were disconnecting them. I guess this is really stupid. But it is -- certainly, this is something that we stopped doing. But we were forced to continue to release our subscriber numbers. And then the cable, we have other services, wireline telephony, Internet customers and then wireless customers, we just copy and paste the practices that I guess probably also the analysts were looking for. So I don't know what to say, maybe you got better ideas than I have.
Hugues Simard: No, I don't have any other ideas. I mean it's -- Maher, it's a bit counterintuitive that you guys will be asking for less disclosure than we already gave out. But I certainly see where you're going with this. And maybe just the last point that I would make on this, is that we -- honestly, for us, as you know, even though we have been having the highest growth for quite some time and certainly intend to continue to have the highest growth, we don't manage based on net adds and have not. And I think you can see from our actions over the past quarters that we focus on profitable growth, not just growth at any price. And should there be an industry move towards not reporting net adds, we'd certainly go along with it. I mean this is...
Pierre Péladeau: We're good students.
Hugues Simard: Yes, yes. We can follow. And we're certainly not remunerated in any way based on growth, as opposed to maybe some other people, I don't know. So we'd be certainly fine with that. But I guess you're going to have, Maher, to continue your evangelization with the rest of the industry, and we'll follow suit with pleasure.
Pierre Péladeau: Just quickly, Maher, maybe it's worth to mention to you that our compensation is not based on units. It's not based on ARPU, it's not based on EBITDA, it's based on free cash flow. Free cash flow generate out of your business.
Maher Yaghi: All right. Very helpful. And maybe just a follow-up question regarding 2026. Generally, you give not like a specific guidance number, but some general sense of where you could land on free cash flow and maybe a directional view on CapEx. Can you share with us your expectations going into 2026 here, please?
Hugues Simard: Sure. For 2026, as I think I've said before, a while back, we were looking and we're still on that track, looking at gradual measured increases in CapEx year after year. And as we've done in 2025, you see we've increased CapEx by $77 million. And it is certainly our intention to continue to invest in our networks. And you can expect another gradual and measured increase of -- I'm not going to give you the number, but roughly equal to what we've been experiencing in 2025, which would make sense to continue to ensure that the performance and reliability of our networks and our customer experience remains high. So -- that's in terms of CapEx. You also were looking at -- what was your first question again?
Maher Yaghi: Free cash flow. I mean, last year, you gave us kind of a $1 billion free cash flow work that, you're working forward to, what would be a number for 2026.
Hugues Simard: Yes. Well, it's -- for 2025, we generated -- we had said we'd generate $1 billion. We generated $1.1 billion. We're reporting free cash flow of $1 billion, an increase of $1 billion or not an increase $1.4 billion free cash flow, but there's -- if you look at it, there's about $300 million of working cap increase coming from 3 main areas, mostly the stock-based compensation, which, as you know, is -- the increase is very high. But being noncash, it comes back in the working cap at the end. Also, we have translated more than $100 million of accounts receivables into cash. And also, Don't forget the -- we had talked about this in the past that we, last year, I think, or more than a year ago, switched our approach in wireline from selling the boxes to renting -- yes, renting the box or leasing the boxes, which obviously had an impact, the first impact of increasing CapEx, but also it allowed us to lower our accounts receivable. So that -- we got a bit of a help there. So on an ongoing basis, we'd be looking at $1.1 billion, possibly more of free cash flow for this year, depending on, obviously, the top line. I would point to the fact that no matter what happens on the top line as we can't predict the future in terms of competitive environment and all that. Our margin, you should look at our margin improvements over the past few quarters that we've been able to flow through increasing amounts of cash down to the bottom line. And we certainly intend and see that we can continue to do that. We can always do better. People always ask us on OpEx and on operating, are you in wireline? Are you -- is there more? There's always more. There's always more. Wireless is a bit different because we're still investing obviously in new brands and expanding brands. But there's always more. We can always do better in OpEx, and we certainly intend to do so. So I would certainly expect growing cash flow in 2026.
Operator: Next question is from Matthew Griffiths of Bank of America.
Matthew Griffiths: I was wondering if you could share maybe the work you're doing to expand your network in Manitoba. I mean, obviously, like half the population is in one city, is this going to be -- anything you can share? I'm not sure what you -- what you feel comfortable with, but it would be helpful on time line and what we could expect and how much of the increase maybe in CapEx is associated with that being an additional work stream versus replacing other work streams that have fallen off? And then is there any reason for us to expect the inflection to positive ARPU to continue or reverse in the coming year? If you could share some expectations around that, it would be helpful.
Pierre Péladeau: Thank you, Matthew. So on Manitoba, you will probably remember that we acquired spectrum even before the Freedom acquisition because we were considering that, that will be an interesting market. And in fact, we built an even stronger spectrum base added to then all of the systems that we acquired with Freedom being able to operate quickly. So we started there. And I would say that the logic is basically the same than elsewhere. And in fact, it's been also the same that as an example, we used in [ NCB ] a region there where we started as a PPIA. And once we've been building a significant customer base, then it was of very profitable way to move and build our own network. The difference with wireless is that we have obligation in front of ISED for deployment. So obviously, we will respect that, but we have time in front of us. And something that we need also to consider is the roaming prices. They've been fluctuating significantly for the last 2 years. Roaming is obviously for incumbent operators, not what it used to be, I guess, not only in Canada, but everywhere in the world. So there's some pressure there. And I would say that the roaming environment is favorable to MVNOs other than at the end of the day, building your own. So we will follow the same strategy and moving forward time to time in our CapEx program, including Manitoba as an operational base also. I ask Hugues to answer the second piece of your question.
Hugues Simard: Yes, Matt. On ARPU, we've got momentum. You see it. We were obviously starting from a lower base than our competition. So we have turned positive contrary to the others. And the silly answer is obviously to tell you it really depends on the competitive environment going forward. Should it stay how would I call it, irrationally or unpredictably, maybe is a better word, competitive, then perhaps are we looking at stability of our ARPU going forward. But you know what, our -- my gut feeling is that we've got momentum there. We can take some heat on that. And depending on what happens, we are certainly in a better position than our competition on this. And I'm confident that cooler heads will prevail and that we will be able to continue growing ARPU going forward. We've got a good momentum going. And don't forget that there's a machine. It's inertia, the concept of inertia. It takes a while to get going, but it takes a while to stop. So we're quite confident on ARPU.
Pierre Péladeau: Are you sure with that?
Matthew Griffiths: Maybe -- can I just ask like 2 quick follow-ups? One is just a clarification on your CapEx, Hugues. Was the $70 million more or less increase year-over-year, that's basically for the Telecom segment, am I correct? Or is that for consolidated?
Hugues Simard: Yes, that's correct. Well, I think it's pretty much both, but it's very close to both. It's -- yes, we increased by $70 million -- from memories to about $77 million which was pretty much all in telecom, to be honest, yes.
Matthew Griffiths: And the other thing I wanted to touch on, if I could, just briefly, is that you mentioned or in your MD&A, it mentioned how like lower third-party Internet sales kind of was a negative for your Internet revenue this quarter. And I just was wondering if you could share any more detail on that because obviously, that -- the fear of that growing across the industry is prevalent within the market, but you're reporting that for you, it's declining. So any color would be helpful.
Hugues Simard: I'm sorry, Matt, I'm not sure what you're referring to. Our Internet revenues are actually increasing.
Matthew Griffiths: Yes, exactly. But within that, I think you report -- if you sell to a third party, so if someone else resells your network, that those revenues that you get from the third party get included in your Internet revenue. And I think that you were -- your materials mentioned that, that is declining. So your -- the amount that third parties are selling of your network is going down. Maybe there's nothing to share there, but if there is something you're seeing within the market and as it affects you, that would be interesting to hear.
Hugues Simard: Honestly, there's nothing material in what Bell or others are reselling for us. It's -- honestly, Matt, it's honestly insignificant or immaterial, honestly. And it's not what's driving the sort of the change of and the positive revenue situation in Internet and wireline, no.
Pierre Péladeau: From my understanding -- maybe I'm wrong, but maybe I should not think loudly, but we -- on the Internet side, now don't forget that a lot of TPIAs were bought by Bell. So then they move customers that we had as TPIA. They were TPIAs to us. So they moved those customers to on their network at a cost which was completely crazy. So yes, there's always a cost to acquire customers. But certainly, there are some that are much more expensive than others. And on that, I guess that they went on a very expensive way. And since this trend is over because the customers is already moved, then our TPIA base is more stable now.
Hugues Simard: Exactly.
Operator: Next question will be from David McFadgen at ATB Cormark.
David McFadgen: A couple of questions. So we saw you guys benefited from a big working capital inflow for 2026. I'm just wondering if you can hold that? Or do you think that there's going to be a reversal in 2026?
Hugues Simard: Not a reversal. I mean some of the -- well, it depends. As I said, the 3 main contributors are basically stock-based compensation. So who knows if our stock keeps climbing, maybe there will be. But I think it would be fair to say that that's probably not going to hit us as much in 2026. And the rest, I would also assume on the receivables that, that would quiet down. So my answer to you would be more -- certainly no reversal, but probably a lot less impact from working cap in 2026.
David McFadgen: Okay. Okay. And then just on the CapEx, I was wondering if you could share with us where you're going to be spending that CapEx? What are the priorities? Is it going to be focused on Ontario, the wireless network in Ontario? Or are you going to really be moving to really improve things out West? Just if you can provide some color there.
Pierre Péladeau: Well, I would say, David, that we're pretty fair with all our segments of the business. And never think -- never forget that wireline and wireless are well [ aggregated ] between each other. You need backhaul and backhaul is good for all sorts of services from the Internet to the wireless. Geographically, we will continue to improve our network. It's been done on an economical basis as much as we have customers in a certain area and where we have spectrum, it will be profitable for us to build and avoid roaming prices even if roaming prices is lower, but it's still roaming. This is something cash out of the company where once you build, you're there for -- I'm not going to say forever, but certainly for a very long time. This is how intensive and telecom industry works. We're not reinvent the wheel. It's been like this forever, and we follow the rules and the lessons of profitable growth.
Operator: Next question is from Stephanie Price at CIBC.
Stephanie Price: I wanted to just circle back on Internet. It was good to see another quarter of growth in wireline. Just hoping you can talk a bit about the competitive environment in Internet and the pricing environment you're seeing in Quebec here. How sustainable do you think the current level of growth is?
Pierre Péladeau: I will Stephanie, Hugues will certainly have comments on this. I'll start by saying that -- and you will remember, we very often say, you know that because it's been like this forever, I would say, that prices in Quebec or in our incumbent footprint have been always much lower than anywhere else in Canada. And we've been seeing because, well, I would say it's understandable. Bell was losing a significant amount of customers. We've been able to experience significant growth on wireline. Obviously, on the Internet side, we grew significantly. And I guess that Bell management and Board of Directors thought that this is unsustainable business and then therefore, they need to invest in fiber. Once they invested, they decided that they need to get customers, which is a good idea, I would say. And from there, they decided that they will lower the prices. They will come very aggressively against Videotron. And for certain years, they were successful. The last numbers we've been seeing shows that this doesn't exist anymore. And we've been seeing probably a more mature thinking from their perspective. And we always said that we're not going to go there. We're not going to follow. And yes, we lost subscribers, we lost customers. But the equation was we were more ready to lose a certain amount of customers instead of seeing a repricing strategy hitting hard on our numbers. So we decided that we'll follow this route. And I would say that probably we were right. So we look forward to be in a more normal kind of situation, and we will continue to -- and this is certainly also, as I mentioned in my speech, in my report. Number one, customer satisfaction. Yes, it's about price, but not only on prices. And I think that the market recognized that, not the market, I mean, the customers, the customers' market experienced this. And this is why we've been experiencing a much lower decline than other cable providers in North America, in the U.S., obviously, and certainly also in certain cable operators in Canada. So I don't know, Hugues, if you have some things to add.
Hugues Simard: I think you've touched on the major points. Just to add a couple of things, Stephanie. We are indeed, as Pierre Karl said, continuing to see intense activity in Quebec in wireline, but more disciplined, as he said. And anyway, there's nothing that leads us to believe that, that can't continue. We seem to be in an environment that is more rational, and we certainly expect it to continue. We're also -- another point, we're also seeing an increasing adoption of higher speeds, which is playing to our advantage. And we certainly see that continuing as well. So in terms of a revenue perspective, we feel that we are -- we've turned a bit of a corner and are prudently positive for the rest of the year.
Stephanie Price: Okay. Great to hear. And then just a follow-up, just on spectrum. So Quebecor is rolling out its 3,800 spectrum, and you didn't receive any spectrum in the recent residual spectrum auction. Just curious how you're thinking about spectrum requirements and the spectrum rollout at this point?
Pierre Péladeau: Well, as you know, we saw there was an auction recently. We participated, obviously. We -- probably another sign of discipline there, but we're not lacking spectrum. So yes, we participate, we bid and the result is that we don't acquire anything. We'll have more details in the near future when ISED will release all the numbers. But our preliminary understanding is that the prices for spectrum was quite expensive, was quite high. And we've been seeing where some of our competitors were lacking spectrum, probably a more aggressive perspective to acquire it. We don't feel any prejudice there. And for the next auction, we'll see. We don't know when it will happen, but we're certainly going to be there as we've been there for the last 15 years or even more than that.
Hugues Simard: Yes.
Pierre Péladeau: Anything to add, Hugues?
Hugues Simard: No. No. On spectrum, as Pierre Karl said, we're pretty comfortable with our spectrum position, and we'll continue to participate, but not at crazy prices. And if prices do get crazy, then we just -- we'll stay on the sideline, so.
Operator: Next question is from Jerome Dubreuil at Desjardins.
Jerome Dubreuil: [Foreign Language] A few questions today. First one, you launched fixed wireless service in Ontario towards the end of last year. I'm wondering if this is something you're really leaning into at this time? If you have significant capacity to offer there? Or it's just maybe something to -- I don't know, to keep competition in check?
Pierre Péladeau: Well, Jerome, a very interesting question. In fact, -- and shortly, we'll go in Barcelona next week at the World Mobile Congress. We will continue to talk with our vendors, finding out what are -- what we can expect in terms of technology. But you're right to say that we already launched it. In fact, we've been having conversations with our vendors for many years as of now, we'll continue to go there. We experienced it. Is wireless -- fixed wireless right now able to replace what wireline is able to provide? And the answer would be no. Will this remain always true forever? Will it be true in 3 and 5 and 7 years? This we don't know. But the thing that we know is that technologies always improve. And the technology in wireline also, so it's going to go in parallel. We've been I'm not going to say enter trial mode, but this is certainly something that we need to look at. And the best experience is providing services to customers to figuring out where we should position ourselves in the future.
Jerome Dubreuil: That's great. Good context. Second question for me is, I know you're not providing wireless EBITDA, wireless margins anymore. But maybe directionally, has there been a material change in the trend there, just looking the recent growth that we've been seeing in wireless has come to any change in the margin profile?
Hugues Simard: No, Jerome. We are -- as you saw, our service revenue increased 9.5%, keeps increasing more every quarter. We are continuing to generate increasing margin. We are -- that being said, we are obviously continuing to invest. I mean we do have branding and advertising expenses and some operating expenses in wireless that -- but I think directionally, from our revenue position, I think you can -- there's not been any major margin changes. So we keep increasing our margin in both wireless, I know that's your question, but I'll take the opportunity to underline once again that we're continuing to increase our margins in wireline as well due to our favorable revenue situation as well.
Operator: Our last question is from -- last question is from Vince Valentini at TD Cowen.
Vince Valentini: I can't promise it your last question, but it's your last questioner. I want to start with wireless sub adds. I know and I heard you repeat it again today, Hugues, that you're not running the business based on a subscriber volume target. You're running it based on optimizing free cash flow. But we all know it seems like a very weak market, almost no population growth in Canada. And throughout Q1, there's been signals that the market is extremely slow. Is it fair to say that if you don't get back to 310,000 sub adds for this year, that's acceptable as long as your share of industry net adds is still best-in-class?
Pierre Péladeau: Well, Vince, we will continue to service the market as best as possible. We all know that there are some factors that were there previously that are not there anymore. We know about the immigration factor. This is something that, obviously, we are not in a position to control. We control our destiny regarding services, regarding prices, regarding innovation. Again, I think it's worth to mention that we innovate. And one of the best example is the recent -- the more recent one is that we've been offering Roam Beyond, not only in North America anymore, but worldwide. And again, sometimes we think innovation is original. This is original, but it's good experience and execution plan. And this is what we offer, and we will continue to work in this direction. Will this end it with the same kind of results that we've been able to enjoy for the last year, for the last 12 months. As you know, we're not giving any guidances, but we consider that these have been the winning formula, and we'll continue to work on it. As I mentioned, it works. So why changing a winning formula. So I know it's just...
Vince Valentini: Fair enough. Move on, try to clarify a couple of things from earlier. One on CapEx. I'm not sure -- I don't see $77 million, I see it more like a $50 million increasing CapEx.
Hugues Simard: Yes, it's $50 million. I just checked that for answering the question. I think it was more $55 million than $77 million. So I gave you the wrong number, but it is $55 million. You're right there, Vince.
Vince Valentini: So using that $615 million number for telecom segment CapEx as a starting point, you would -- you don't want to give guidance, but I mean something in the same range of a year-over-year increase of $50 million to $60 million off of that base is a reasonable expectation for us at this point?
Hugues Simard: Yes. That makes -- yes, that's exactly what I was saying, yes.
Vince Valentini: Okay. And to piece that back with the free cash flow comment. And I think you answered it this way, but then at the end, you said something different. So I just want to make sure. You're not saying that you can do better than $1.4 billion of free cash flow in 2026. What you're saying is you can do better than $1.1 billion pre working capital and the pre cap working capital is a bit hard to determine, but unlikely to be as high as $300 million again. Is that a fair way to characterize it?
Hugues Simard: That's exactly what I thought I said. And if I didn't, that's what I should have said.
Vince Valentini: No. Maybe you did, maybe it's just me want it to be perfectly clear. And then just last one thing. And again, it's been asked. Somebody asked about the TPIA wholesale revenue that you received. I just want to flip it around, is there any meaningful increase in the number of TPIA subs that you are taking advantage of by reselling other people's networks in the fourth quarter, that 3,700 number? Were there a meaningful amount that were on other people's networks as opposed to your own?
Pierre Péladeau: Well, you're right, Vince. I guess that this is something that we didn't emphasize on, but it's open season, I mean, for everyone. So yes, it's true. We're gaining customers on others people network for which we combine our offer with wireless. So this combined offers brings. And I guess that Videotron has been a very strong brand. It's not because we don't operate as an Internet or a cable subscriber provider, that people don't know us. In fact, they know us many times, we have a chalet or -- and so they are serviced in, let's say, Montreal like Videotron, but they're not serviced in the, 100% chalet cottage with another. Now we're in a better situation to cover all their expectations. I think that this -- just to end the question is, we cannot say this is material. So this is why we're not emphasizing on number wise.
Vince Valentini: That's all I want to make sure. Yes. It's not like you add 20,000 TPIA and lost 17,000 on your own network.
Pierre Péladeau: No.
Hugues Simard: No.
Vince Valentini: There's no nothing like that going on, okay.
Hugues Simard: No, absolutely not. Absolutely not. I'll just point to the fact to another. Just -- I know you know that, Vince, but we're not selling at a loss on the TPIA front. We're doing this, obviously, to -- as the wireless play as a churn and as a wireless play. But we're not selling at a loss on the wireline front. So this is not something that we're not going crazy all out and replacing a profitable customers with unprofitable ones. So I just wanted to make sure I added that to what Pierre Karl said.
Vince Valentini: Which means you're reselling cable networks, not reselling fiber networks for the most part, right?
Pierre Péladeau: Correct.
Hugues Simard: Yes.
Pierre Péladeau: We like HFC.
Hugues Simard: We like HFC, yes.
Vince Valentini: Sorry for so many questions. Congrats on the results, guys.
Hugues Simard: But Vince, just before, I just -- I can't help but not to underline. In your note this morning, you said that over $1 billion of cash flow is unlikely to excite investors. So can I ask you a question, what you want me to say?
Vince Valentini: Well, you just did $1.4 billion. So that's why we're asking.
Pierre Péladeau: What will excite you?
Vince Valentini: I think you answered it.
Hugues Simard: $1.4 billion, all right.
Vince Valentini: Keep it going. Keep it going higher.
Pierre Péladeau: I'd like to thank you all. Just the last word was -- well, the last 2 words would say that I'm quite surprised that we -- you didn't ask any questions regarding AI, which seems to be the buzzword for the last few months. And we didn't address this also in our reports. But just to tell you that we obviously work on those issues and the issues of AI is for us the capacity to be even more efficient in our operation to reduce our expenses. And in fact, we've been doing AI for many, many years before it happened because for us, it means automation. And automation always reduce our expenses, and we've been obviously implementing our automation processes for many years ago. And this is why we've been seeing our expenses going down and our operation more efficient for the last many years before. And just to tell you also, obviously, you guys watch equity, but there was a report this morning, which I thought it would be interesting because sometimes we don't talk enough about debt. But this gentleman by the name of Nicholas Kim of BMO on the debt side, released a report. And obviously, I like the title. It says a gold medal performance. So I bought that and it's worth reading it. So for all of you, we thank you for attending our conference call and watch for our next quarter results and being with you again. Thank you very much, and have a nice day.
Operator: Ladies and gentlemen, this concludes the Quebecor Inc.'s Financial Results for the Fourth Quarter and Full Year 2025 Conference Call. Thank you for participating, and have a nice day.